Operator: Good day, ladies and gentlemen, and welcome to the AngloGold Ashanti First Quarter 2014 Results. All participants are now in listen-only mode and there will be an opportunity for you to ask questions after today's presentation. [Operator Instructions] Please also note that this conference is being recorded. I would now like to hand the conference over to Sabrina Brockman. Please go ahead.
Sabrina Brockman: Thank you, Dylan. And welcome everyone, to AngloGold Ashanti's results for the first quarter of 2014. Before moving on with our presentation, I am just going to quickly cover the safe harbor statement. Certain statements contained in this presentation, other than statements of historical fact, including without limitation, those concerning the economic outlook for the gold mining industry, expectations regarding gold prices, production, cash costs, all-in sustaining costs, cash savings and other operating results, return on equity, productivity improvements, growth prospects and outlook of AngloGold Ashanti's operations, individually or in aggregate, including the achievement of project milestones, commencement and completion of commercial operations of certain of AngloGold Ashanti's exploration and production projects, and the completion of acquisitions and dispositions, AngloGold Ashanti's liquidity and capital resources and capital expenditures, and the outcome and consequences of any potential and pending litigation, or regulatory proceedings or environmental health and safety issues are forward-looking statements regarding AngloGold Ashanti's operations, economic performance and financial condition. These forward-looking statements or forecasts involve known and unknown risks, uncertainties and other forecasts that may cause AngloGold Ashanti’s actual results, performance or achievements to differ materially from the anticipated results, performance or achievements expressed or implied in these forward-looking statements. Although AngloGold Ashanti believes that the expectations reflected in such forward-looking statements and forecasts are reasonable, no assurance can be given that such expectations will prove to have been correct. Accordingly, results could differ materially from those set out in the forward-looking statements as a result of, among other factors, changes in economic, social and political and market conditions, the success of business and operating initiatives, changes in the regulatory environment and other government actions, including environmental approvals, fluctuations in gold prices and exchange rates, the outcome of pending or future litigation proceedings, and business and operational risk management. For a discussion of such factors, refer to AngloGold Ashanti’s annual report on Form 20-F for the year ended 31 December, 2013, which was filed with the United States Securities and Exchange Commission on 14 April, 2014. These factors are not necessarily all of the important factors that could cause AngloGold Ashanti’s actual results to differ materially from those expressed in any forward-looking statements. Other unknown or unpredictable factors could also have material adverse effects on future results. Consequently, readers and listeners are cautioned not to place undue reliance on forward-looking statements. AngloGold Ashanti undertakes no obligation to update publicly or release any revisions to these forward-looking statements to reflect events or circumstances after the date hereof or to reflect the occurrence of unanticipated events, except to the extent required by applicable law. All subsequent written or oral forward-looking statements attributable to AngloGold Ashanti or any person acting on its behalf are qualified by the cautionary statements herein. This communication may contain certain non-GAAP financial measures. AngloGold Ashanti utilizes certain non-GAAP performance measures and ratios in managing its business. Non-GAAP financial measures should be viewed in addition to and not as an alternative for the reported operating results or cash flow from operations or any measures or performance prepared in accordance with IFRS. In addition, the presentation of these measures may not be comparable to similarly titled measures other companies may use. AngloGold Ashanti post information that is important to investors on the main page of its website at www.anglogoldashanti.com and under the Investors tab on the main page. This information is updated regularly. Investors should visit this website to obtain important information about AngloGold Ashanti. And now with that, I am going to hand it over to Venkat.
Srinivasan Venkatakrishnan: Thanks, Sabrina. Good morning, ladies and gentlemen. For those of you who have the slides before you, we are on Slide number five, if we can kick off by recapping on the strategy that we've been articulating each quarter, five building blocks to our strategy, the foundation being focused on safety, people and sustainability. The second pillar around ensuring that we have financial flexibility to implement our strategy; the third is around optimizing all forms of costs and capital expenditure, the fourth around improving our portfolio of quality and making the assets work harder, and finally ensuring that we keep our long term optionality intact as part of the strategy. The end result is a business with strong foundation and fundamentals, a team that is committed and focused on delivery and a sustainable free cash flow coming through from a diversified quality portfolio. Before going to the results for the quarter, on Slide 6 if we can look at our safety performance, we strive to achieve zero harm and in terms of all injuries, our All-Injury Frequency Rate was 7.76 for the first quarter of 2014 and it represents the number of injuries per million man hours worked and was the best ever first quarter injury rate which we've seen in the history of the company. We have had 20% less injuries year-on-year and 8% fewer days lost, 11 operations ended the quarter with zero lost time injuries and six operations with zero injury. South Africa was a standout performer. For the first time, an underground mine in South Africa recorded three million fatality free shifts and at Kopanang, Great Noligwa and TauTona had one million fatality free shifts. Having said those positives, the disappointment was after two months of being fatal free January and February, we had three fatalities in the month of March. None of these were in production related incident. One was in South Africa in the Mponeng Project and the other two involved contractors in Brazil who were refurbishing the vent shaft. This together with high potential incidents or incidents that we call near misses are areas where we continue to investigate thoroughly, learn from those experience, cross-pollinate those ideas across the rest of the operations to ensure that we get to zero harm every day. Turning now to the first quarter results, on Slide 7 as you will see, it's another very good quarter under continued tough market conditions, excellent work from every one of our 60,000 plus employees and contractors helped us achieve this result. The production was up 1.06 million ounces, up 17% year-on-year and ahead of the 950 million ounce to 1 million ounce guidance and here you are starting to see the benefit of Kibali and Tropicana, but even notwithstanding that, the production was up on the residual portfolio and one has to bear in mind Q1 and Q2 tends to be our traditionally weaker quarters. Total cash costs were down 14%, $770 an ounce, ahead of our $800 to $850 per ounce guidance and all in sustaining cost decreased 22% to $993 an ounce on lower capital, cash cost and overhead and all-in cost dropped 31% to $1,114 per ounce. Our CFO, Richard Duffy will unpack these numbers for you, giving you the breakdown of what the benefit in currencies and some of the timing differences were. Looking at the production, our South African operations had a challenging first quarter, production was down 11% to 290,000 ounces year-on-year and Mike will expand on the reasons why and our all-in sustaining cost though were very carefully managed and reduced by 14% to $975 an ounce. The shortfall in production was more than compensated by our non South African operations i.e. Continental Africa, Americas and Australia and their combined output was up 34% to 765,000 ounces year-on-year and the all-in sustaining cost dropped 22% to $972 an ounce. We are starting to see the production from our quality projects come through. Tropicana and Kibali together produced 135,000 ounces at a blended cash cost of just over $500 an ounce and an all-in sustaining cost of around $600 an ounce. Net debt showed marginal improvement with a free cash flow of around $9 million generated during the quarter. Before we move on to the next slide, a couple of interesting statistics here to show, the sharp turnaround that has been achieved in the company, the last time we saw this level of production in any first quarter was dating back four years to March 2010. The cash cost, the lowest first quarter cash cost we saw this quarter has been since March 2011 and this is our first positive free cash flow quarter since March 2012 when the expenditure on our two projects started to ramp up and at that stage gold was $1,700 and is currently at around $1,300. The next Slide, Slide number 8, phases in a number of numbers, says more than 1,000 words. It's a year-on-year comparison of our first quarter performance, gold price fell 21% to around -- by $346 an ounce and although it just comes across as a 21% drop, if you were referred through on a million ounces to the bottom line, it's a $350 million hold in free cash flow, but the team has pulled in every lever which is within our control to plug the gap. As you can see production was up as outlined previously. Our cash costs were down, corporate and marketing cost, exploration and evaluation costs have also come down significantly. Capital expenditure was down. There are some timing differences which Richard will cover and our all-in sustaining costs are down as well. Yes, we've had some benefit of weakening currencies over the quarter, but notwithstanding that, the impact of this reduction has being sizeable. In the normal course, a drop of $350 an ounce would have decimated our EBITDA and cash flow from operating activities, but despite that, you can see that our EBITDA and cash flow from operating activities have been very stable, resulting in a free cash flow of around $9 million as compared to $227 negative in the same quarter of 2013 and for the record ladies and gentlemen, this is the fifth consecutive quarter of improvements, which we are seeing across the business. With that introductory comments, let me had you over to Mike O'Hare to cover the performance in South Africa.
Mike O'Hare: Thank you, Venkat and welcome to everybody. I would just like to reiterate the magnitude of the performance at Kopanang, achieving three million five full free shifts in the record for South Africa -- our suite of South African mines. That took him 900 days to achieve and certainly hit the new benchmark for us and does show that the work we've been doing and talking about around EPS over many quarters now is showing results as Kopanang was the mine that started first and certainly at the deepest implementation and the quickest. If we move to Kopanang in terms of their production however, it's quite ironic that they also had quite a significant safety stoppage from the regulator over this quarter, which affected their production quite adversely. We had that discussion with the regulator to ensure that we all were on the same page and we understand what they expect and they understand what it is we are trying to do because we both are trying to achieve the same thing of zero harm. During the quarter, if we compare to the first quarter of 2013, we see planned deductions at Great Noligwa and this is a portion of TauTona due to grade in an attempt to ensure that we don't mine ounces that don't have a decent margin. The sustained good production that -- performance at Moab Khotsong was good to see and we expect that to continue. Problems during the quarter at Mponeng, we had a poor start to the year, which resulted in many of the stopping crews not being able to achieve the increased face advance targets, which we have set and are planning for in order to try and increase the productivity at that mine. However, the guide across the South African assets from the underground mine continues to improve. In fact we are about 10% higher than we were this time last year, largely driven by the increases in grade at Moab Khotsong. If you look at the overall region, you see a great drop, but that's really been driven by the million tons of extra tailings we've treated from Mine Waste Solutions year-on-year, which come at very low grades. Cost containment and Ron Largent will speak a little bit later about this. Certainly it remains uppermost and I think you can see by the results from the all inclusive that our focus certainly is there. We've completed the restructuring of the management cohort. Our capital for Q1 is a lot lower than it was in Q4. However, we do expect this to increase slightly into Q2. This is a normal seasonal effect as we ramp up over the year. If we move to Slide 11, some brief comments around how our technology is progressing. We now have drilled four 66 centimeter holes skin-to-skin and backfilled them. This has been one of the milestones that we had to achieve in this project in order to ensure that we could extract all of the gold, but only the gold. We've also learnt not from the doctor that's coming out of the measurement devices that are planted in the backfill that the backfill is reacting the way it has been planned to react and this has allowed us to now design a mining sequence for these holes bearing in mind that the backfill requires over 20 days to cure to its full strength. Two new machines have come into production in South Africa over the quarter; one at TauTona and one at Great Noligwa and the photographs on the right hand side are showing you the new machines at TauTona and the new backfill setup at TauTona for the extraction of that very high grade reef. Our ore body knowledge, we are trying to move away from diamond drilling, which is slow and it's expensive and we are trying to pioneer the use of RC drilling in a deep underground mine and we are quite comfortable there. We have now managed to achieve a drill depth, a vertical drill depth of 150 meters at eight meters per hour, which is our specification. The next step in this is to achieve a 300 meter long hole at the same kind of speed. If we move on to Slide 12, Slide 12 as we normally do stabilize our performance, our cumulative performance with the reef boring and we certainly expect those to improve quite a lot more as the two new machines that we now have in production come on stream. With that thank you and I'll hand over to Ron Largent.
Ron Largent: Thank you, Mike. Good morning, everyone. Before I talk about the operational outcome for quarter one, I would like to give an update on the cost rationalization project also referred to previously as Project 500. This work was -- work commenced in late quarter two 2013 with an objective of pulling $500 million from our operational spend profile, over an 18-month timeframe with an end date of quarter four 2014. Documented cost removals from the operation totaled $136 million for quarter three and quarter four 2013. Additional cost were included in our 2014 business plan that well exceeded our $500 million target. So, if we meet our planned cost, the project will have met its objective. For quarter one, our all-in sustainable costs was 7% below our target, at 990 per ounce. With this outcome, this supports meeting or exceeding the cost rationalization target. Some examples of some specific work during quarter one include contract mining rates at Sadiola and Siguiri were reduced by 14% and 16% respectively, which results in about $15 million annual cost reduction. Additional work on localization, basically looking to localize workforce across the operations has resulted in an annualized savings of $13 million. Renegotiation of cyanide supply in West Africa also resulted in about $10 million annual savings. Considerable work has been done on stores, inventory and working capital. Even though this is not cash cost, but it impacts our balance sheet and we've set a target of $100 million reduction in inventories. Although this will be completed by the end of the year we’re well down the path of meeting that target. From an operational standpoint, good work has been done at Sunrise Dam that has resulted in Jumbo development rates increasing from 330 meters to 420 meters per month. This coupled with truck productivities improving by 10% that will help -- that will help Sunrise Dam change from open pit underground operation to an underground operation only. These are examples of work in quarter one that are additive to the work accomplished in quarter three and four of 2013 and were not included in our internal business plan. As I’ve stated before in previous results discussions, I believe the best way to monitor the project of rationalizing cost is to watch the outcomes each quarter. Now for the discussion on the operations, for quarter one 2014, production from the international assets was 765,000 ounces at a cash cost of $759 and in-all sustainable cost of $972. This is an improvement of 14% and 22% respectively when compared year-to-year. Now, I’ll go to Slide 14, Continental Africa region for quarter one, the region produced 374,000 ounces compared to 276,000 in quarter one 2013. This is 36% improvement in gold production. Cash costs were $808 per ounce compared to $994 and all-in sustainable costs of $1,042 compared to $1,376 for quarter one 2013. For this comparison, one must remember there is difference that being Kibali mine, which produced 51,000 attributable ounces at cash costs of $538, which does impact those comparison I just gave. Siguiri mine exceeded its quarterly target for the ninth consecutive quarter, 70,000 attributable ounces with cash cost of $800 per ounce. The commencement of the mining at the Seguin pit has proved to be a good addition to mill-feed sources. At the Iduapriem mine, again good results in quarter one, 45,000 ounces at $718 cash cost as the stockpile plan is showing good result along with the mining of an area that was previously mined by Artisanal miners within the Ajopa pit. Due to these Artisanal mining activities, we depleted the ore body model, but in fact our reconciliations have been very positive. At Geita mine, a good quarter at 108,000 ounces with cash costs of $631. Production was less in quarter four due to great presentation within the mine. At Obuasi mine, which Graham Ehm will speak to in more detail, production improved year-on-year by 8% and reduced its all-in sustainable cost by 41%. This was primarily on reduction in stay-in business capital. The Sadiola sulphides project feasibility study is being updated and evaluated with hopefully a decision in the second quarter. Overall Continental Africa had a very good quarter and quarter one 2014. Now Slide 15, the Americas region for quarter one. The region produced 236,000 ounces which was equal to production of quarter one 2013. Cash costs were also equal to quarter one 2013 at $668 per ounce. But all-in sustainable costs reduced by $48 an ounce compared to the same quarter in 2013. The CC&V MLE project, which will also be covered by Graham Ehm and give details before we set with that project. But as for the CC&V operation, the current heat-leach facility reaches its ultimate height and capacity in the coming years. The amount of surface area available is reduced dramatically, which makes stacking of the new orders and water management a larger challenge. The depth of the ore stack has reached heights of some greater than 350 meters. Stockpile and mill-feed material continues in anticipation of the mill facility start-up in quarter four. CC&V production was down slightly at 60,000 ounces, due to a failure in this solution piping system that forced the site to alter the staking and irrigation plan. At Cerro Vanguardia in Argentina, completed a good quarter despite the challenges with high inflation, import challenges and currency depreciation. CVSA produced 58,000 attributable ounces in quarter one at cash cost of $644 per ounce. In Brazil, the total operations produced 125,000 ounces associated cash costs of $64. In total, the Americas team finished quarter one on target and within our expectations. Slide 16, in Australia quarter one 2014, Australia produced 155,000 ounces compared to 61,000 ounces in quarter one 2013. This substantial increase is due to the Tropicana mine being in operation. Cash costs were also favourably impacted by Tropicana as cash costs totalled $779 per ounce compared $1,302 during quarter one 2013. The Tropicana mine is meeting our expectation as related to ore body reconciliations mill throughput and gold production. This has not come without challenges, but their operation produced 84,000 attributable ounces at a cash cost of $495. It will be interesting to watch, the Tropicana team work through the remaining start-up challenges and understand this asset as it levels out and we understand the mill throughput and exploration potential. At Sunrise Dam, the mine is in a transition from an open pit underground operation to a underground operation only. The last of the open-cut mining was completed in quarter four of 2013 and now emphasis is on obtaining the productivities necessary to sustain an underground operation at 2.4 million tons per year. The team at Sunrise has met their desired production rate of 200,000 tons per month during March, which ultimate illustrates the target of 2.4 on annualized basis can be met. There’s still considerable work to be done to turn this into a underground operation only, but all indications are, we can get there. So, the Australian group had a good quarter and looking forward to see what they can do at both Sunrise and Tropicana as we move forward in the year. So in summary, the international operations met or exceeded the majority of their targets for quarter one 2014, but the new operation producing a designed rate, the existing assets producing at expected levels and the cost rationalization work showing real outcome. Quarter two appears to have a few challenge that will cause us to reschedule our production profile at CC&V due to the heat-leach staking sequence I spoke about earlier. The Cuiaba mine in Brazil, thus had difficulty of rock mechanics in one specific ore body that could impact quarter two production and a start up of the sulphide circuit at Kibali and DRC. So with these challenges in quarter two, we also have Siguiri and Iduapriem that continue to show upside potential. Thanks and I’ll now pass it to Graham Ehm.
Graham Ehm: Thanks Ron. Hi all. Today, I’ll cover our project going to the exploration and wrap with Obuasi. This will be my final piece on Tropicana on Slide 18. The Tropicana project is now complete and handed over to Ron and his team. Ramp up is going very well with quarter one delivering a 120,000 ounces on a 100% basis. Ongoing capital now will be small and related to stay in business capital. The official opening for the mine was celebrated on the 6th of March and was opened by the West Australian Minister for Mines, The Honorable Bill Marmion. The next slide shows two control charts, these control charts shows the throughput and run time since the 1st of January, 2014. You’ll note that mill throughput is consistently above design at 17,000 tons per day and operating time measured as run hours per day shows very little down time. Run time in March was 95% and is running at about 99% for the last month. In regard to Kibali -- the Kibali oxide circuit operated quite well during quarter one, but with a few material handling and equipment issues as might be expected. Quarter one gold production exceeded our budget achieving 113,000 ounces on a 100% basis. So far circuit commissioning is now in progress and will result in progressively higher production in quarter two and quarter three. Underground development is going particularly well. Decline in lateral development has now advanced 5,600 meters project to-date with 1,650 meters in quarter one. Notably grade-control drilling from the underground development has intersected the 5,000 load where expected. The shaft has reached now a depth of 416 meters and is progressing quite well. In regard to Cripple Creek and Victor, the mine life extension project continues on schedule and on cost. Mill construction is 75 complete and on-track for commissioning in quarter four 2014. Construction of the new valley leach facility is also on track with commissioning in some time away in mid 2016. In regard to exploration, we have previously reported on a contraction at Greenfields to three focused countries and a budget reduction to $35 million per annum. We intent to retain our spend discipline in regard to exploration. Exploration in Guinea at Kounkoun, which is within trucking tracking distance to Siguiri is going well, with resources of 630,000 ounces designed with good probability of increasing this substantially. Exploration in Australia is focused on regional Tropicana. Targets continue to be generated with the most interesting being at Madras, 25 kilometers south of the mine. In Colombia, Nuevo Chaquiro is developing into quite an interesting copper/gold discovery. Initial drilling identified a large but deep porphyry system shown by the dotted line on the slide. Hole 39 intersected 686 meters at 0.72% copper and 0.33 grams per ton gold, or about 1.5 grams per ton gold equivalent. More recent drilling is showing up a higher grade core. We have commenced a scoping study to put Nuevo Chaquiro in perspective compared with other copper/gold deposits. We expect to be able to say more and publish a maiden resource in quarter four this year. Today I’m going to speak about Obuasi due to the next steps that we are planning to take in regard to this mine. The team on site led by Mark Morcombe has implemented number of substantive changes over the past year or so, including the termination of the unproductive mining contract, rationalization of the underground fleet with consistent -- with commensurate reductions in labor numbers. Mine geology and mine planning has improved substantially and the aged CIL and flotation plants have been replaced. The government of Ghana has been very helpful and active in dealing with Obuasi's legal mining issues. Despite all this effort, Obuasi is not turning the corner at a pace that would see it become cash generative. Consequently we believe, a radical intervention is required. AGA is working with the Government of Ghana, the Union, King of Ashanti and other key stakeholders to develop and an amendment to the program of mining operations. Subsequent to required consents this amendment involves a substantial change wherein operations will be contracted through the re-treatment of tailings only, and we will focus on targeted development of the underground mine. During this period other parts of the mine will be placed on care and maintenance. Consequently there will need to be the commensurate reduction in labor, which we would manage sensitively and in consultation with the government, union and community. The mine's footprint would be substantially reduced to focus on the southern area enabling security to be managed more effectively. We realized that such a change requires social repositioning. Our CEO and EVP Sustainability, David Noko and the Senior Ghanaian Management are working closely with senior members of government and other stakeholders to develop the changed plan. This will result in a substantial reduction in our G&A cost currently belonged by the mine. The other key element is the mine repositioning plan. The top figure in the slide shows the current working areas, spread throughout the mine from north to south, with short spacing between mine level. Shown in the lower slide, the plan's intent is to contract to the south on fewer mining areas. The ore body here enables productivity improvement from multi-lift stoping, improved backfill and mechanized mining with larger equipment at a larger scale. During a slowdown period, we will undertake the detailed design and develop a detailed plan for the future operation. Based on this work, we will determine how best to take Obuasi forward in the future. Finally, because this work involves many different interconnected elements, it will be treated as a project and therefore will be transferred from Ron's operating team. They will certainly be tapping into Ron’s resources and the resources of the company to turn Obuasi into a future direction. Thanks very much. I’ll pass on to Richard.
Richard Duffy: Thank you, Graham. I’m now on Slide 27. Our ongoing efforts to address our cost structure across the business are reflected in the 22% year-on-year reduction in our all-in sustaining costs from $12.75 an ounce in quarter one last year to $993 an ounce in this quarter. Whilst weakening local currencies contributed some $95 an ounce of $282 an ounce reduction, lower operating corporate and exploration costs contributed a $100 an ounce with reduced stay-in business capital contributing a further $104 an ounce. As you would see when I talk to our Q2 outlook a little later on, we expect stronger local currencies to reverse some of the gains in quarter one. The year-on-year reduction in all-in costs is even more marked, with lower project spend in this quarter following the completion of Tropicana and Phase 1 of Kibali, resulting in a reduction of $508 an ounce or 31% from $16.22 an ounce in quarter one last year to $1,114 an ounce in quarter one 2014. Turning to earnings, you will see that we have more than offset the $214 million negative impact on our earnings on the back of the $340 an ounce or 21% drop in the spot gold price through additional lower cost ounces and significantly lower corporate, marketing and exploration costs. You would have seen from Venkat's highlights slide that Tropicana and Kibali feature prominently in contributing to these lower cost incremental ounces. The significant improvement in underlying operating performance resulted in a $237 million improvement in our cash flow for this quarter as compared to the same quarter in 2013 and resulted in earlier than expected cash generation in quarter one will be at modest. Notwithstanding a slight improvement in our net debt, our net debt to EBITDA ratio increased marginally from 1.86 to 1.89 times. This is because we measure this ratio over the preceding 12-month period and although our net debt reduced EBITDA for the measurement period reduced by $33 million as quarter one 2013 with a considerably higher average spot gold price of around $1,630 an ounce dropped out of the calculation and was replaced by this quarter at an average spot gold price of around $1,290 an ounce. Our borrowing covenant threshold remains at 4.5 times for the upcoming June testing period before reverting back to three times for the December testing period. As you can see we remain below both of these thresholds, although higher than historical levels. We have therefore been prioritizing debt reduction and this is reflected in the repayment of A$165 million against our A$600 million revolving credit facility reducing the drawn amount to A$385 million by the end of the quarter. We were assisted in this by A$40 million once-off tax refund in Australia. My final slide talks to our outlook for the second quarter. Production is forecast to be broadly in line with quarter one at between 1.02 million and 1.06 million ounces. Production from our SA operations as highlighted by Mike will be impacted by the number of public holidays in this quarter which are expected to delay the seasonal quarter-on-quarter step up. You have also heard from Ron, that we have some scheduling and operating challenges with CC&V in Brazil and in our Brazil operations in particular. Cash costs are projected to be in an $8.30 to $8.65 an ounce range with all-in sustaining cost of between $1,100 and $1,145 dollars an ounce. Cash costs are expected to be negatively impacted in Q2 by stronger local currencies to the tune of around $20 an ounce. Power increases, winter tariffs and higher fuel costs contributing around $15 an ounce and both oil inventory and consumables store movements of around $50 an ounce. As mentioned in my first slide, the lower all-in sustaining cost in quarter one was assisted by lower stay-in business capital spend, a portion of which related to timing rather than capital efficiency or savings. We expect around $30 million of sustained CapEx to roll over into the remaining quarters of 2014 and this will be reflected in higher stay-in business CapEx in Q2 impacting on our projected all-in sustaining cost as outlined earlier. It is also worth noting that all-in sustaining costs are measured against ounces sold, not ounces produced and in quarter one, we sold some 40,000 ounces more than we produced. The seasonality reflected in our Q2 outlook does not impact on our annual guidance, which remains unchanged from that provided at the beginning of the year. I will now hand back to Venkat to wrap. Thank you.
Srinivasan Venkatakrishnan: Thank you, Richard. If we can move on to Slide number 32, what you see before you is the gold price tracked from around April 2012 to April 2014. As you can see, the impact of the gold price drop has been formidable within an 18-month period and AGA had to adapt very quickly with a rapid turnaround response and we have successfully done that and if you look at the ultimate measure, which is the free cash flow, which is after all outgoings; tax, interest, capital, the whole lot, in the second quarter of 2013, we were negative $497 million. In the third quarter of 2013, we were negative $205 million. In the fourth quarter of 2013, we were negative $82 million and in the first quarter of 2014, we are positive $9 million. On Slide number 33, we've put together what the production has done during 2013 quarter on quarter and what the all-in sustaining costs have done over the same period and bearing in mind that the first quarter and to a certain extent, the second quarter tend to be not only our weaker quarters, we've superimposed on that slide, what the first quarter of 2014 production, and all-in sustaining cost were. The key messages from the slide are, we've pulled together five quarters of consistent good delivery in pretty challenging market conditions. As a team, we've been able to show production growth and cost decline over this period. Quarter one and quarter two tend to be weaker quarters, but as you can see year-on-year improvement is noticeable both on production and on cost. Having said that, we should never underestimate the headwinds, which continue to be formidable in a business like ours and it may cost us to miss a quarter here and there, but certainly the overall trend line is setting in the right direction. Moving on to Slide number 34, which is a snapshot of our corporate and exploration cost reductions. Our cost saving efforts have been markedly apparent when it comes to this area of cost and we have shown there what the quarterly profile has done through 2013 into 2014. In the case of exploration, as Graham mentioned, it's focused exploration efforts taking into account the price environment where we see the best bang for our buck. In terms of corporate cost it has involved extensive restructuring, removing inefficiencies and duplication, but placing a lid on our indirect spend as well. As Richard mentioned, the first quarter of any year, tends to have some timing benefits. So our annual numbers, which we provided in the last call for 2014 remain valid. Exploration and evaluation is $150 million to $175 million and corporate costs are $120 million to $140 million, a bit more than annualizing the first quarter by four times. Turning to capital expenditure, you would recall 2012 and 2013 were heavy capital years for AngloGold Ashanti as we were building Tropicana and Kibali. We are starting to see the project capital reduce and the cash flows come in from those two projects. Our sustaining capital of 2013 was just over $1 billion and for 2014 including deferred stripping, it's around $1 billion. Project capital for 2014 has come down markedly to $400 million and it reflects spend on CC&V mine life extension, Mponeng below 120 level, the Kibali underground and the declined project at Obuasi. To conclude with Slide number 36, which is a scorecard of what we promised in terms of delivery just over a year ago, if you look at it from the foundation of the business on people, safety and sustainability, we have kept a core team intact where safety performance has improved significantly. Thanks to very good foundation and system, which were put in place over the last five to six years and our sustainability record has been improving considerably and environmental incidence has reduced. Looking at the financial flexibility, the $1.25 billion seven-year bond improves our debt tenure and provides liquidity. Debt covenants have been relaxed temporarily by the bank for two testing periods, but we are not being able to -- we've not had the need to use the loosened covenants. We are well within our original schedule. In terms of debt levels, currently the net debt of $3.1 billion is reflective on the capital, which was spent on the two acquisitions, which is Mine Waste Solutions and MSG Serra Grande and the project spend on Tropicana and Kibali close to around $2 million. So two thirds of the debt reflects the money, which we have spent on the projects. Turning to the cost side, our all-in sustaining costs, our overhead and exploration cost and CapEx and all-in costs have all come down by respectable margins year-on-year and that is seen in our numbers, which we have published. Looking at the portfolio we are fortunate to have two new projects coming on stream last year in the third quarter ramping up through fourth quarter and the first quarter Kibali and Tropicana, both commissioned ahead of time and on budget. The Navachab sale is in progress for $110 million. The process is with the regulators in Namibia at the moment going through the normal approval process and the Cripple Creek and Victor expansion is on track and on schedule. In terms of our exploration spend, focused exploration in respect of three areas would exit from six countries and our South African technology innovation continues to make significant progress. So in terms of 2014 the areas of focus will continue to remain safety, quality of production being improved and cost. On the debt level, we've made good progress by improving our financial position, by addressing our operating and our capital cost base, our broader financial flexibility by addressing the refinancing risk, diversifying our sources of funding, extending our maturity profile and improving our liquidity headroom. However leverage levels are still high and therefore financial flexibility is going to be a key area of our focus going forward for us. Having achieved a number of the above objectives, we are certainly taking all of our efforts now to address the problem child in the portfolio, which is the Obuasi mine. We are tackling this asset head-on now as the cash bleed is simply not affordable given where the gold price environment is. To put it in context, the mine consumed $120 million of cash flow from corporate. In 2012, $220 million in 2013 and has drawn $40 million in the first quarter of 2014. And as Graham outlined, we are drawing a line and we are taking a radical approach to this mine, which has been in operation for over 100 years. We have been spending a fair amount of time investing six to nine months working in partnership with the Governments of Ghana, the Union and the stakeholders and we have widely consulted with a range of government officials, union and stakeholders as follows. In terms of the government, notably our Sector Minister, Honorable Alhaji Fuseini, who has been extremely supportive in terms of addressing the challenges at the mine. The Minister for Environment and other ministers, our principle regulators, which is the Minerals Commissions and the EPA, the traditional chiefs and kings of the Ashanti region and the Obuasi area, the Members of Parliament and the Members of the Local Counsel for Obuasi, the General Secretary and the Leadership team of the National Ghana Mineworkers Union and a good cross section of our employees and other wide group of stakeholders. The support we have received from all of the stakeholders and in particular, our Sector Minister and the Environmental Minister and the General Secretary and his team at the union have been remarkable in terms of taking the short term paying, which is needed at the community to protect the long term future of the mine. The principle advantage of our proposal, which is in its initial stages, which we will continue to develop over the next few months includes a collective approach by all stakeholders to address what is ultimately a common problem in Ghana. It stems the cash bleed rate at the mine going forward. Importantly, it ends legacy overhangs and outdated business models, which have been in practice for several years and it makes the asset far more attractive, opening up strategic alternatives, which are currently not available to the mine. With those concluding remarks, happy to take any questions.
Operator: Thank you, sir. [Operator instructions] Our first question comes from Andrew Byrne of Barclays. Please go ahead.
Andrew Byrne - Barclays: Hi, good afternoon guys. A quick question as regards the comments around prioritizing debt reduction. I suppose the drop-out of that is what do you see as a sustainable level that AngloGold can carry if we assume a gold price plus or minus around the current levels? And I suppose the follow-on question from that is how would you look to achieve that? Would you consider an equity capital raise for instance to take it to that level, or would that be a last resort?
Richard Duffy: Hi Andrew, it's Richard Duffy here.
Andrew Byrne - Barclays: Hi Richard.
Richard Duffy: Hi, how are you doing? As you know, we have been working on addressing our balance sheet flexibility and liquidity since our 1.25 billion bond issue around the middle of last year and we really did that in response to the sharp pullback in the gold price as you noted. So going forward, we will continue to ensure that our balance sheet is able to meet the requirements of the business at whatever the prevailing gold price is.
Andrew Byrne - Barclays: Sure, okay. So if you're saying at the moment you recognize that it's too high, what would be the level that you'd be comfortable with now and then?
Richard Duffy: Again Andrew, we have indicated that we've been prioritizing paying down debt, which we did particularly in quarter one assisted by a tax refund. So we will continue to pay down debt and we will continue to monitor where the balance sheet is and the gearing relative to where the gold price is. So we continue to focus on flexibility and liquidity.
Andrew Byrne - Barclays: Sure, okay. And then a follow-up question, probably directed towards Graham really. Just with regard to Colombia, could you just recap where we are in terms of the -- with La Colosa and Gramalote and just how you see the region developing over the next two to three years? Given Richard's comments just a few moments ago, is it something that you -- is it a region that you can see Anglo developing at the moment or would you need to look for either external funding or look to potentially realize some value by potentially selling those projects.
Graham Ehm: I think to summarize Colombia I think you need to look at the projects as remaining in prefeasibility stage for the next couple of years. I can't see them coming out of prefeasibility and moving into project commitment. In regard to Gramalote, we are moving now through a stage of an enhanced pre-feas study, which is testing resource upside, redesign of the pit and also some options that would pull back capital cost and operating cost on Gramalote. That work is going to take us a while longer before we would finalize a non-option to move it through the feasibility. When we get to that point, we will take a decision in regard to the progress for Gramalote. In regard to Colosa, have been looking at a large project option, which involved a very large facility off mountain. That was a capital cost that was getting rather high. We are now focusing back on a higher grade proportion of the resource, with a non-mountain option both for processing and for tailing. That will take a little while to work through and again there is a number of options and permutations in that configuration and that will take a bit of time.
Andrew Byrne - Barclays: Sure, thanks. Just want to…
Graham Ehm: The newest development is really Nuevo Chaquiro, and I think I've covered that.
Andrew Byrne - Barclays: Yes exactly and that sounds quite exciting really. Again, more problems, all good problems, but not for Richard. A question then just on those projects in Colombia. Is there anything that you do need to do to keep those options open or any timelines where suddenly those options lapse.
Ron Largent: Yes, this is Ron, there are some specific times that we were managing on the tenement packages there and each one are different. You’ve been -- when we commenced work and we do have time, but we have to manage that time, there is 11-year timeframe between when you take the tenement and when you have to have the permits in hand and so yes, we are managing those.
Andrew Byrne - Barclays: Okay. And the first one then that's likely to lapse, do you happen to know the timeframe on that? I think is it La Colosa perhaps.
Ron Largent: We still have those times. They are well within the region of being able to continue to study these and give us flexibility.
Srinivasan Venkatakrishnan: Andrew, with regard to your question on tenement timing and the discussions with Colombia, because I was there a couple of months ago talking to the regulators there, they are very supportive in terms of actually meeting with us and making a joint decision in this regard and your other question was whether we would be considering opening up avenues in terms of partnership, joint ventures etcetera to get some value out of Colombia, of course yes, for the right price.
Andrew Byrne - Barclays: Yes, great. Thanks. I think I've taken up enough time but well done on a good quarter and look forward to seeing you soon.
Srinivasan Venkatakrishnan: Thank you.
Operator: Ladies and gentlemen, as we have no further questions, on behalf of AngloGold Ashanti, that concludes this conference. Thank you for joining us. You may now disconnect your lines.